Operator: We would like to begin the presentation of the Fiscal Year 2022 Third Quarter Financial Results. Thank you very much for the participation. Today, we have with us COO, Ashwani Gupta and CFO, Stephen Ma. Thank you very much again for your participation. First COO, Mr. Gupta will give the Q3 results and full year outlook. Mr. Gupta?
Ashwani Gupta: Thank you. Good afternoon, everyone. Thank you for joining Nissan’s third quarter results for the period ending December 31, 2022. I will take you through our latest results. As mentioned, our performance should be seen against the backdrop of the headwinds impacting the wider auto industry. Although Nissan is not immune to the global shortage of semiconductors, we introduced countermeasures to secure chip supplies. This enabled us to increase production volumes in the first 9 months of the fiscal year with accelerating output in the third quarter. Despite these measures, our unit sales were negatively impacted by three main issues: firstly, the ongoing disruption in China caused by COVID; second, shortages of semiconductors in U.S for compact segment models; and third, the vehicle exports hampered by constraints of global logistics. Despite these challenges, we prioritized production of models, where there were no supply constraints to regulate production and in some cases, producing cars to replenish dealer inventory back to healthy level. This helped lift our production volumes. Global production rose by 9% year-on-year to 909,000 units in 3 months to December 31. This represented an accelerating trend on the 2.4% increase in production volume to 2.5 to 6 million units achieved in the first 9 months of the fiscal year. Although we were able to ramp up our production, year-on-year unit sales declined 6.9% to 842,000 units in the third quarter. Our third quarter retail sales varied noticeably around the world. In Japan, our home market sales rose 11.4% to 104,000 units as we successfully increased production to meet domestic and export demand. Japan unit sales reflected demand for models such as the Note and Aura as well as the Sakura and X-Trail. For all these models, we are working hard to ensure deliveries as soon as possible to customers. In China, retail sales were down 6.9% to 292,000 in the third quarter as the COVID lockdown continued to impact customer traffic. In North America, sales were down by 2.1% to 256,000. This was primarily due to semiconductor constraints in the production of compact cars, including Sentra, Versa and Kicks. Turning to Europe, excluding the Russia market, which we have withdrawn from, quarterly unit sales was up 1.8% as you move to stabilize production and meet back orders. In markets, unit shares were 22% – in other markets, unit shares were 22.7% lower than 113,000. Although production in these markets was flat, sales were severely constrained by logistics issues affecting export markets such as Gulf and Oceania. In summary, Nissan is continuing to address macro headwinds by rebuilding production and focusing unit sales on core models and prioritizing in long-term. Now, I will present our core model performance of our flagship models in key markets. Starting with Japan, we are pleased with the segment share achieved by our Note and Aura models, which rose 1.8 points to 15.7% in the third quarter. Revenue per unit goes up by 1%. The strong acceptance of our vehicles is also underlined by Sakura EV winning the Triple Crown of Japan of the Year, RJC Car of the Year, Car of the Year of Japan Hall of Fame. In addition, Note and Aura being the top selling electrified vehicle demonstrates our strong leadership in electrification. In China, our best selling Sylphy continues to hold 16.6% of the segment. Although revenue per unit on the Sylphy was down 1%, it remained China best selling sedan, an accolade that it has held for 3 years in a row. In the United States, where we have a strong position in SUVs, we saw an encouraging 9% increase in revenue per unit for Rogue, which rose to 7.5% segment share. We are also encouraged by the strong growth in other SUV segments. The segment share for Pathfinder rose by 2.5 points, INFINITI QX60 by 3.6 points. In the European market, we saw particularly strong sales and revenue per unit performance for the Qashqai. Revenues were up 13% per unit on a stable segment share that rose to 4.4%. The Qashqai is the best selling model in the UK. And our e-POWER technology was named best innovation by Grand Prix Auto Motor in Europe. As I explained, the industry remains to face uncertainties, but it is encouraging to see strong customer acceptance of our core models in each market. Now, I turn from these highlights to underlying the financial performance. The next two slides show our key financial performance indicators on both China JV proportionate and equity for the third quarter and the 9-month period. On an equity basis, which excludes contribution from China JV operations our net revenue for the third quarter rose by 28.6% to ¥2.84 trillion from ¥2.21 trillion in the same period 2021. On the same basis, operating profit for the period was ¥133.1 billion, with an operating margin of 4.7%. For the third quarter, net income was ¥50.6 billion. Excluding the one-time loss from the exit from the Russian market this year, net income would have significantly improved from the prior year to ¥137 billion. Our automotive free cash flow significantly improved in the third quarter to a positive ¥119 billion versus a negative ¥1.2 billion in the prior year. Net cash for the automotive business improved to ¥1.09 trillion. On a proportionate basis, which includes our China operations our net revenue for the third quarter rose to ¥3.19 trillion from ¥2.51 trillion last year. Operating profit under this measure reached ¥162.6 billion for the quarter, representing an operating margin of 5.1%. Nissan’s automotive profit continued to be positive for two consecutive quarters as we remain committed to strengthening the sustainability of our core business. In the third quarter, automotive free cash flow improved to ¥83.5 billion. Net cash for the automotive business reached ¥1.57 trillion on this basis. Nissan continues to maintain strong levels of liquidity. The next slide highlights our keep of financial performance for the 9 months ending December 31, 2022. On an equity basis, our net revenue for the period increased to ¥7.5 trillion from ¥6.15 trillion in the same period last year. On the same basis, operating profit for the period was ¥289.7 billion with an operating margin of 3.9%. Nissan automotive profit is also positive for the 9-month period. For the 9-month period, net income was ¥115 billion as I previously mentioned for the third quarter. The decline versus the previous year can be explained by the one-time loss from the exit of Russian market this year. In addition, last year, there was the one-time gain from the sale of Daimler’s shares. Excluding the one-time gain and loss, our net income significantly improved from the prior year. Free cash flow for the automotive business was a positive ¥21 billion for the 9-month period. As previously noted, our free cash flow significantly improved in the third quarter to a positive ¥119 billion. The positive free cash flow in the second and third quarter covers the negative free cash flow in the first quarter, which was due to low production. We expect our free cash flow to continue to be positive for the remainder of this fiscal year. On a proportionate basis, which includes our China operations our net revenue for the 9 months rose to ¥8.45 trillion from ¥7.11 trillion. Operating profit under this measure reached ¥375.2 billion for the period representing an operating margin of 4.4%. Despite China JV continuing to generate positive free cash flow, the automotive free cash flow on the proportionate basis was negative ¥32.2 billion for the 9-month period. This is because the dividend payment from the China JV to Nissan is not included in the free cash flow on proportionate basis. The net cash for automotive business reached ¥1.57 trillion on this basis. Now, let us look at the financial performance for the 9-year period. This is the income statement on equity basis. Net revenue increased by ¥1.35 trillion. Net revenue increased year-on-year despite the decrease in sales volume, which was primarily driven by improvement in net revenue per unit as well as the weakening of yen. The operating profit increased by ¥98.4 billion from the prior year to ¥289.7 billion, representing an operating margin of 3.9%. I will explain the details of the variance on the next slide. Net income for the nine-month period was ¥115 billion. The decrease from the previous year was due to one-time factors from the sale of Daimler shares and the exit from the Russian market. For the 3-month period, the net income increased significantly from the previous year despite booking an extraordinary loss on the exit from Russia this fiscal year. Turning now to operating profit variance analysis for the 9-month period, this slide shows the variance factors on the 9-month period from last year. Foreign exchange had a positive impact of ¥161.8 billion, again primarily due to the strong U.S. dollar and Canadian dollar as tailwinds, but also offset by headwinds in other currencies like Mexican peso and Chinese yuan. The increase in raw material prices had negative impact to ¥180.6 billion primarily driven by price hikes in materials such as steel, aluminum and plastics. Sales performance had a positive impact of ¥341.9 billion. The continued improvement in quality of sales was the biggest contributing factor with the decrease in incentives as well as improvement in pricing. Increased volume and mix and increased after-sales also were contributing factors. Monozukuri cost had a negative impact of ¥111.7 billion primarily driven by cost inflation in manufacturing and logistics, regulatory and product enrichment. Other items had a negative impact to ¥113 billion from the previous year due to primary ¥77.6 billion decline in profit for the sales finance business. This was primarily due to one-time gains last year from the release of credit loss provisions as well as decline in assets resulting from the decrease in sales volume due to the production constraint from supply chain disruptions. Used car price fluctuation has a negative impact of ¥29.5 billion as we had one-time gains in the previous year from the high used car prices. Increased G&A and other items had an additional impact of ¥5.9 billion. Turning now to our outlook for fiscal year 2022 during the first 9 months of the fiscal year, the automotive industry continued to face a challenging business environment due to the semiconductor supply shortage and the impact of China lockdown. As a result, we are lowering our global sales forecast from 3.7 million units to 3.4 million units, with adjustment mainly in China and North America. China is due to lockdown caused by COVID-19. In North America, there was a deterioration in DIV. And as I mentioned earlier, there were continued semiconductor shortages. This is full year forecast fiscal year ‘22 on a equity method basis. Despite the expected decrease in sales volume for the fiscal year, we have maintained the forecast for net sales of ¥10.9 trillion and operating profit of ¥360 billion, which represents an operating margin of 3.3%. The exchange rate assumptions for the current fiscal year have been revised slightly from ¥135 to ¥134 for the U.S. dollar and from ¥137 to ¥148 for the euro. Compared with the original outlook, which was announced in May 2022, operating profit has increased by ¥110 billion despite 600,000 units reduction in retail sales. Our forecast of net income remains ¥155 billion. As previously stated, this incorporates the extraordinary loss of ¥110.5 billion due to exit from the Russian market. Without the one-time impact of Daimler in the previous year and the Russia exiting this year, our net income would have increased significantly from the previous year. This slide shows the operating profit variance from the previous outlook. We expect a slight deterioration in ForEx and slight improvement in raw material and logistics versus the previous outlook. As we are revising sales volume forecast from 3.7 to 3.4 million units, volume and mix is expected to deteriorate by ¥16 billion. However, we will offset this by improvement in performance. As such, we maintain our operating profit outlook at ¥360 billion for this year. In addition to maintaining our financial outlook for the fiscal year and despite the expected decrease in sales volume, we are forecasting a positive automotive free cash flow for the fiscal year on an equity basis. Furthermore, operating profit for the Automotive segment is forecasted to be positive for the full fiscal year. Back in November, we decided to forego payment of an interim dividend due to this uncertain external environment. We are still forecasting a year-end dividend of ¥5 per share or more depending on the earnings and automotive free cash flow for the fiscal year. Improving shareholder returns continues to be one of our priorities and we will work to increase the amount to an appropriate level in the future. We appreciate your understanding and support. Finally, our results are strong, especially achieved against the backdrop of severe market headwinds. As I said in the beginning, this is driven by tireless efforts of all our employees and partners. And I would like to convey my deepest appreciation for their hard work. We have successfully built an agile and flexible foundation to be able to adapt and overcome today’s rapidly changing environment. And of course, this week we announced the exciting new initiatives of the Renault-Nissan-Mitsubishi Alliance. This will take our 24-year partnership to the next level and create fresh, new growth opportunities for us. Nissan is on the right path. Our passion, our innovation, and our challenges spirit will propel us through to the next decade as we close – as we come closer to realizing our long-term vision Nissan Ambition 2030. The entire team is prioritizing all efforts to achieve sustainable growth. And we will maximize our potential as we move forward towards a progressive future. Thank you very much.
Operator: Thank you so much. [Operator Instructions] The first one is Citigroup Securities, Yoshida-san. Please go ahead. Yoshida-san.
Yoshida Sean: Yes, thank you for the opportunity. Citigroup, Yoshida-san speaking. The first question is about U.S. incentive – situation of incentive in the U.S. Up till December, it seems to have been fine, but now we are seeing that because Rogue and Pathfinder in these key models, zero interest loan has started if I understand correctly. In the United States, situation maybe changing, what’s the situation? How do you assess the situation in U.S. today? That’s the first question. And the second one, semiconductor supply and when are you going to recover from this? Besides China in other regions, between Q3 and Q4, retail volume is increased – is to be increased by more than 200,000 units. That’s your plan. Does this mean that production will largely recover or what’s behind this? Production recovery, how sustainable is it? How long will it last? Will it get better only going forward or could you give us the state of semiconductor supply issue? Thank you. That’s all.
Ashwani Gupta: Thank you, Yoshida-san. So this is Ashwani. So, as far as the United States is concerned, as we have been saying always that we will align our incentives in line with the competition and in line with the markets. And we are strictly controlling the mix between rental and the retails and especially when I look at not only the quarter three, but when I even look at January we are doing so. There is one thing which are changing – which is changing is the product mix. So, the product mix is changing for sure from C and D segment more towards the B-SUVs and the B-sedans. And this is what we are trying to adjust our mix more having on Kicks, Versa and – Kicks and Versa and also Altima and this is what we are progressing. So, as far as my understanding and all the data which you can see in the public, our incentives are absolutely in line with the market. Of course, you can see that they are increasing but they are increasing in line with the market and we are not worried about that. In addition to that, we are trying to adjust our mix. When it comes to the chips shortage, I think beside China you would have seen that in Europe, we are increasing. And overall, I would say that the situation is improving, but whether the situation is perfect, I don’t think so and in FY ‘23 also situation will be better, but situation will not be 100% perfect which means the supply shortages will continue in FY ‘23 also. But what we have seen clearly the production recovery is in Japan and Europe, which is not only driven by the semiconductors, but which is also driven by other factors in terms of supply chain? Maybe Stephen you want to?
Stephen Ma: Yes. For Yoshida-san, just add to Ashwani’s comment about the incentive in the U.S., we are trying to maintain competitiveness, but we are also very careful about how we do it. We might have noticed we don’t – we try not to give cash incentive, we try to do more in terms of interest rate subvention or lease support, because as you know U.S. consumers are much more carrying about monthly affordability and the interest rate is really hitting them hard in terms of monthly payments. So, the way we spend our incentive is more on the sales finance, many subvention for interest rate and also for some of the lease. So that means also that because it’s paid in this way, we keep them in our captive finance company for a longer term, so it’s better for the long-term cycle of our customers. Does that make sense, Yoshida-san?
Yoshida Sean: Yes, thank you. Talking about Rogue segment – in Rogue segment RAV4 and CR-V, these competitors are not built in large numbers. So did you really need the zero interest rate that was what I wanted to know? That’s why I asked you a question. Why did you need a zero interest rate?
Stephen Ma : Let me go back and look at the specific offer on Rogue, I don’t recognize 0% on Rogue. It might be certain dealers who might do certain things by themselves, but I don’t think we as a company have offered 0%. Let me go back and check for you.
Yoshida Sean: Okay, thank you so much. Excuse me about that question.
Operator: Okay, thank you Yoshida Sean. Moving on to Goldman Sachs, Yuzawa-san, please. Yuzawa-san.
Kota Yuzawa: Yes. Hello, Goldman Sachs, Yuzawa speaking. I have two questions. The first one is about the volume again. It seems like there is a big decline in the volume. So Sentra, Versa, Kicks, what kind of semiconductors are bottlenecks? Could you elaborate on what are the supply issues about the semiconductor? What will be the timing of recovery for the next year, for example, 4 million units which you have projected? Will there be an upside on this side? Could you give us projection of the production? That’s one. And the second question is about the landing between November and December. There are tailwinds of ForEx, but your profit is getting closer to 5%. Third quarter profitability, how long will it last? Is it sustainable? Is there any upside or downside to this profitability? These are the two questions Thank you.
Stephen Ma: So I will do the second one and Ashwani will come back and explain the semiconductor and the chip bottleneck. So Q3 was a good result for us, I believe. And as Yuzawa-san you correctly noticed, is very high op margin for us. And I think if you just look at Q3, we have hit our Nissan NEX objective already on proportional base. Of course, Q3 is, as you saw, we have less volume than we wanted. So we refocus of course our semiconductors on the higher end and make sure we have richer mix. Q4, I am sure you might be asking us the next question, because you asked sustainability of the Q3 momentum. Q4, if you take the full year guidance 360 and subtract our year-to-date, you probably get to only ¥70 billion for Q4 profitability. And that’s probably what you are alluding to the Q4 outlook. To answer that question, let me give you a couple of facts because as you remember Q3, our Japan yen exchange rate was average about ¥140 or ¥141 to the dollar. In Q4, we are projecting or using ¥128 to the dollar kind of projection for now. It hovers around ¥130, but ¥120 I think is okay to use as an assumption. Given the increased volume, this ¥120 a stronger yen actually going to hit us negatively in Q4 versus Q3 by additional maybe negative ¥40 billion. So we actually have net FX pioneers quarter-over-quarter in terms of the yen strengthening, but because we have the increased volume, we can offset some of that, but the rest is just timing of raw material costs. Now, after we brought it throughout the year, they come through the inventory and actually hitting our P&L right now and also the seasonality of the cost. So Q4, the profit would not be as high as Q3 and not as high in terms of profitability. But for sure, our auto profit will be positive and auto free cash flow will be positive. That’s how to look at it for Q4. Then I think your next question is next year. And then next year, we are right now working on a budget. So, we will come back to you on that one. But I believe in Nissan next time, we already said we are going to hit 5% proportion of SOP for next year. So, that is still the objective we are striving for. So, maybe Ashwani,
Ashwani Gupta: Yes. Thank you. I think I talked about the semiconductors. So, one thing is for sure that semiconductors supplies are improving, but this is also for sure that we don’t have 100% of the supplies. There are a couple of chips, which are the bottleneck. And if we don’t have two chips, which means even if we have chips for all other commodities in the car, we just can’t make the car. And to be honest with you that we have enough for our chips to even go up to 4.1 million, 4.2 million in this year. But because of these two chips, where we are struggling to get more than 3.4 million, we have to downsize our production to 3.4 million. In parallel we have started, we have already developed many second source and many things in other chips. So, definitely for these two chips also, we are starting the second source development, it will take some time. FY ‘23 not only these two chips, the shortage will continue, but will be better than this year. This is what we expect.
Kota Yuzawa: You have answered 10 of my questions. Thank you. Second question, is it because I trust at two chips? Only two chips are a bottleneck? Are you sure? That’s what I heard in interpretation?
Stephen Ma: So, if you ask me, my sales demand is 5 million. So, I am not talking about 5 million. I am talking about just to do 4.2 million. I needed only two chips.
Operator: Yuzawa san, did that answer your question.
Kota Yuzawa: Yes. Thank you. That was clear.
Operator: Okay. Thank you. [Operator Instructions] Daiwa Securities, Hakomori san, please.
Eiji Hakomori: Yes. Thank you for the presentation. First, China, over the past few months, if you look at the retail volume of Nissan, it’s very slow, X-Trial three cylinder issue may be one and semiconductor supply issues. These are well understood factors. However, how are you going to increase the share or sales volume in China, including the competitive landscape? Could you describe where you are today? This is the first question. And another one, excuse me, dividend, what is the dividend policy? The other day you announced the likelihood of investing in Ampere. But net cash and free cash flow, you have good improvement on these two fronts. So, you need to strike a balance. Could you elaborate on the funding for investment and dividend? How are you going to strike the balance? These are my questions. Thank you.
Stephen Ma: Maybe I will take that one, second one first. And then Ashwani can answer this China retail and the company landscape. Dividend policy I think we are saying the same thing as before. Eventually we want to get back to normal 30% level payout. But right now we are making sure that we have steady recovery and solid op net income, auto free cash flow, auto net cash. First, we want to make sure we are very solid and there is no worry. I think in Q3, we already demonstrated that. We have very good numbers in all four categories. And we just have to demonstrate it for full year to alleviate any concerns. This is why I think in the last slide of the presentation Ashwani mentioned. We usually don’t give full guidance on the full year free cash flow, but we wanted to do it this time. We want to say after 3 years negative, we will be full year free cash flow positive this year. Auto profit also will be positive. And our net cash is very healthy, as you can see from our financials. So, for sure, we will maintain this position of steadily increasing the dividend like up to 30% level. But at this point, I cannot say how fast we will do that we will do it very carefully in balance of all the factors, including what we announced on Monday. And just to help you consider the timing and the sequence of things, the Ampere investment will only happen if we decide to – it depends on how much we decide to invest. But if the investment were to happen, it will happen at the IPO of the Ampere, which I believe right now has indicated that it will be in calendar year, this year Q4 timing. So, it will not happen until three more quarters probably, maybe next year, given if the there is a recession and the market is not so conducive to IPOs. So, it will not be in the next two quarters, I think. So, it will be safe to say that. Given that, I think we have not demonstrated two quarters or three quarters without very good performance, and I think we will continue in the next year as well. So, I think as we do that and generate free cash flow, auto profit, I think the concern will be less. Then your next question might be okay, Ampere investment and also share buyback. And again, the share buyback, also Renault, very unlikely in the immediate short-term to be selling down the share that they transfer the trust, only because Nissan’s share price is so low right now. They would want to wait for higher share price before it’s time to sell and monetize that share. So, I don’t anticipate them doing that this year, maybe next year or following year. But that’s to give you an idea or image of the sequence of things that might happen. So, I am not so worried right now about the immediate future in terms of cash need. And we have plenty of liquidity and cash on hand right now.
Ashwani Gupta: Yes. Thank you. I think the sales in China is slow, because of multiple factors. Just after the break, I think we are going to increase. We are going to put focus on increasing our sales. On the performance, yes, the X-Trial three cylinders still remains a challenge for us. When – normally we sell between 10,000 to 12,000 and we are selling in few hundreds. That is the only product in the world, which has not picked up, we launched 14 cars in last 21 months. And the X-Trial in China has not picked up, that’s the reality. Then we launched Ariya in the COVID pandemic. So, we don’t know exactly what is the real performance of Ariya. And we had to postpone the launch of X-Trail e-POWER because of the pandemic. So, I think soon after this is over, we will focus again on the new models which we have just launched or which we will be launching in the coming weeks to recover. So, when we will come back with the full year announcement. I think at that time, we will have a much more better picture of our China performance.
Eiji Hakomori: Okay. Gupta san, thank you. Excuse me, now you have elaborated about China. So , I have another additional question if I may, in your presentation. Sophie, well the share is very high, understand for Sophie, but the share seems to be declining for Sophie. Sophie, could you elaborate on the performance of Sophie, whether it’s a competitiveness, and the Chinese new energy vehicles are growing. So, could you elaborate on the situation of Sophie and what’s surrounding it?
Ashwani Gupta: I think there are two factors the one is that our friends are really bringing down the transaction price of sedans. And as you could see, we only did minus 1%, which is much more or less than what market we are seeing now on the sedan. This is the one, the primary factor, but why this factor is coming is obviously, as you mentioned that because of the new entrants, especially in the battery EV, we see the conquest from the sedans towards the new battery EV. So, I think these two factors which are seeing so. But once again, this is a temporary transit as you would have seen that from January. The Chinese Government has stopped the battery incentives, battery EV incentives. Now in February and March, we will really see difference in the China market. So, that’s why we have to wait for this quarter to see the real performance of the market and real performance of Nissan.
Operator: Did that answer your question?
Eiji Hakomori: Thank you for the elaboration. That was very clear sir.
Operator: Okay. Thank you. Next is Nomura Securities, Kunugimoto san, please.
Masataka Kunugimoto: Yes. Thank you. Do you hear me?
Operator: Yes, we do. Go ahead.
Masataka Kunugimoto: I have two questions. One is that model mix in the third quarter, mainly around U.S. compared to last year model mix is largely improving. Going forward, KICKS or Sentra, VERSA will increase, that’s what you said, right, in the presentation. Overall, globally or overall, until fiscal year 2023, how will the model mix affect the overall results of the company? Could you elaborate on this? This is the first question. And the second question is about raw materials prices and other Monozukuri costs. The impact of these factors depending on the goods and precious metals, and some of the non-steels are coming down in prices. On the other hand, still in Japan and EV battery related costs are rising, right? So far, one of the big negative contributors like there is raw materials, logistics, going forward, how do you project for example, in fiscal year 2023, will the impact be less or smaller? These are the two questions. Thank you.
Stephen Ma: Thank you Kunugimoto san. So, model mix, as we mentioned, especially when the supply is limited, when it’s short, of course, we are going to do everything we can to maximize and could use the higher end and also one is higher model within the Malahide as much as possible. So, the mix of course, in this kind of environment always going to be more positive and normal. As we get more supply of the semiconductors, then we can produce more of this lower end or smaller cars. And then the mix of course, will turn the other way a little bit to normalize. So, that it’s going to happen inevitable. You just question how fast or how slow that it will happen. And as mentioned earlier, one of the reasons in the U.S., where our market share declined a little bit is because we did not have the semiconductor produce the like sedans or smaller cars, which have become popular recently because of the inflation and the price going up everywhere. So, household income in terms of affordability, and they migrate towards the lower end of the segments. So, we didn’t have the cars at a time. But – so, as the supply come back, and then consumer behavior turns towards more affordable cars instead of buying higher end sedans and big cars, I think the mix for everybody will go a little bit the other way. The question is how much, so I don’t know the answer yet. But for sure long-term, you will not be staying at this level for a long-time. The next question is Monozukuri costs and PGM or precious metal. So, as you correctly pointed out, some other precious metal prices have come down, which is why when we revised the outlook, we already reflected the latest prices for the precious metal and what we can see. The steel prices are still high, aluminum as well. It has come down slightly now in the U.S., especially in the U.S., given that people anticipate a recession and that output, industrial output might come down, so steel prices has softened. I assume I remember we signed contract for a full year for steel and aluminum. So, as we enter into next fiscal year, we are now negotiating to try to lock in as good of a price as we can. So, that’s how we are trying to manage for the biggest impact which is steel. For logistics, unfortunately, globally, as Ashwani mentioned in the earlier session as well, we have logistics difficulties everywhere in terms of shipping capacity, rail, truck etcetera. It is not just one place, but in many places and it is a result of half the COVID, they don’t have enough people to work at those jobs anymore. So, they are trying to re-staff those levels. So, for short-term, there are still going to be some logistics bottlenecks and challenges for everybody in the industry. Is that answering your question?
Masataka Kunugimoto: Yes, thank you. If so, overall, you are saying that next fiscal year ForEx will be tougher than today for 2023, but raw materials price wouldn’t be so impacted. The upside is the volume increase, am I right to say that about next year?
Stephen Ma: We will not get the same effects. I don’t think game will go as much depreciation next year as this year. And I think the raw material seem to have flattened out on total. Some special raw material like EV related is still going up. Especially lithium has gone up 3x or 4x because of the demand in EV vehicles, still seem to have flattened out in terms of price or come down slightly. So, you are right, less FX good news, but less perhaps raw material, bad news. And then the rest is logistics and other inflation related costs that might come.
Masataka Kunugimoto: Thank you.
Operator: Okay. Thank you. Anyone else? With that there is no question. [Operator Instructions] Nothing else. We are better in advance, but we would like to conclude this session. Thank you for joining us tonight.
Ashwani Gupta: Thank you very much.